Operator: Welcome to the Orthofix International NV 2015 Second Quarter Results Conference Call. Today's call is being recorded I would now like to turn the call over to Mr. Mark Quick, Director of Business Development and Investor Relations. Please go ahead, sir.
Mark Quick: Thanks, operator, and good afternoon everyone. I'd like to welcome to the Orthofix second quarter 2015 earnings call. Joining me on the call today is our President and Chief Executive Officer, Brad Mason, Chief Financial Officer, Doug Rice, and Chief Strategy Officer, Mike Finegan. I'll start with our Safe Harbor statements and then pass it over to Brad. During this call we will be making forward-looking statements that involve risks and uncertainties. All statements other than those of historical facts are forward-looking statements. Including any earnings guidance we provide at any statements about our plans, beliefs, strategies, expectations, goals, or objectives. Investors are cautioned not to place undue reliance on such forward-looking statements as there is no assurance that the matters contained in such statements will occur. The forward-looking statements we make on today's call are based on our beliefs and expectations as of today August 4, 2015. We do not undertake any obligation to revise or update such forward-looking statements. Some factors that could cause actual results to be materially different from a forward-looking statements made by us on the call include the risks disclosed under the heading risk factors on our 2014 Form 10-K as well as additional SEC filings we make in the future. If you need copies please contact my office at Orthofix in Lewisville, Texas. In addition, note that on today's call, we will refer to certain non-GAAP financial measures in which we exclude certain items from our U.S. GAAP financial results. We believe that in order to properly understand our short-term and long term financial trends, investors may wish to review these matters as a supplement to financial performance measures to determine in accordance with U.S. GAAP. Please refer to today's press release announcing our second quarter 2015 results are available on our website for reconciliation of these non-GAAP performance measures to our U.S. GAAP financial results. At this point I'll now turn the call over to Brad.
Brad Mason: Thanks, Mark. Good afternoon everyone. Today I will start by giving you an update on our second quarter performance, after which Doug will walk you through the financial results that we reported today. I will the follow-up with an update on our priorities and expectations going forward before opening up for Q&A. I'm pleased with our second quarter results and the improving outlook for our business reflected in our higher guidance. While I believe this quarter demonstrates that we have put the right strategies in place and are making good progress we need to continue to execute against our plan to drive similar or better results going forward. Here are few highlights for the quarter, on the financial side on a constant currency basis net sales grew by 5% in Q2 over prior year. BioStim and Biologics continued to gain momentum and show year-over-year growth and in the case of Biologics double digit growth in Q2. Top line revenue in our extremity fixation business recovered well in the quarter primarily as a result of increased cash collections from cash based distributors. On our Q1, we discuss this as an issue that will normalize overtime. As long as we have cash based distributors in this SBU and to a lesser extent in the spine fixation SBU our net sales maybe choppy from quarter to quarter. In spite fixation we will turn around as gaining traction, net sales on a constant currency basis were down just 4% year-over-year compared to a sales decline of 28% in Q1. We’re beginning to see a number of positive indicators in this SBU. And as Doug will describe in more detail, gross margin increased 350 basis points over prior year, product sales mix and better inventory management were the primary drivers of this improvement. Sales and marketing expenses as a percent of sales declined 50 basis points in constant currency over prior year and as expected have returned to historical levels from their abnormally high level in Q1 of this year. Adjusted EBITDA versus Q2 2014 increased $1 million to 17.2 million or 17.1% of net sales. Turning to our operational accomplishments, as you can see in the top line numbers for the quarter and year-to-date the execution of our commercial strategies are beginning to deliver positive results. I will now give you a brief update on our progress against our three key objectives for the year. Our first objective is to optimize our sales channels, we continue to expand and improve our sales force and sales management team in each of our businesses, as an example of this in our Biologics business we have added 32 new independent distributors in last nine months and 24 new distributors in our spine fixation SBU. We have also increased our sales management ranks and added 10 new field base education specialist in the U.S. we expect that by year-end we will have achieved our sales channel optimization objective. Our second objective is to invest in our core technologies. The first way that we do this is through in our product pipeline. One example of recent new product success is the TrueLok Hex external ring fixation system which was introduced in the U.S. at March. TrueLok Hex provides a simplified three dimensional hardware and software solution for both deformity and trauma management of the slip ankle [ph] [indiscernible]. Since the U.S. introduction we have seen market acceptance of TrueLok Hex and have very high expectations for this product going forward. The second way we’re investing in our investing in our core technologies is to preclinical and clinical research to drive the long term success of our regenerative businesses for both new indications and reimbursement support. These efforts are well underway and producing important findings for us to build upon. We have committed up to $8 million for this effort 2015. Some of these projects have been slow or develop or enroll than we were expecting, so year-to-date we have [indiscernible] anticipated these investments but expect some acceleration in the next several quarters. Finally, we are investing in our core technologies to business development activities like our option agreement to acquire eNeura, a pioneer in the use of portable non-invasive transcranial magnetic stimulation or TMS for the treatment of migraine headache. We have until September of 2016 to exercise our option. Since we sign the deal early this year, eNeura continues to make good progress in product design optimization, a strategy to achieve a broader label for SBUs and with the commercial business model in U.S. all of which are important factors in our decision next year whether to exercise our option or not. Our third objective is to improve our infrastructure and control environment. As I mentioned on past calls, in 2014 we initiated project Bluecore, a multi-year worldwide processing system improvement initiative to improve the reliability and efficiency of our systems, processes and reporting as well as drive down our overhead expenses. In addition to reimplementing our Oracle ERP platform worldwide we expect to improve supply chain, management simplify finance and accounting procedures and move to less manual processes with fewer redundancies throughout the company. Our process improvement initiatives remain on budget. After Doug provides you with the financial details I will give you more color on our outlook for the remainder of the year. Doug?
Doug Rice: Thanks, Brian and good afternoon everyone. Total net sales in the quarter of $101 million was flat compared to the second quarter of 2014 total net sales, however on a constant currency basis net sales increased by 5%, sequentially net sales grew $11.2 million or 12.5% compared to the first quarter of 2015. Now I will talk about each strategic business unit in more detail. Starting with BioStim, this SBU develops, manufactures and distributes bone growth stimulated devices using a proprietary pulse electro-magnetic signal to improve bone fusion rates. The market size is approximately $500 million annually growing in the low single digits. Net sales in the second quarter of 2015 were $40.7 million up 3% versus the same period in the prior year. The increase was primary due to continually improving the execution of our commercial strategies. Turning to our Biologics SBU, this business provides a portfolio of human tissue forms for the treatment of variety of orthopedic and spinal conditions. The U.S. Biologics market is estimated at $1.7 billion growing in the mid-single digits. In the second quarter net sales were $15.3 million, an increase of 10.3% versus the same period in the prior year. The growth is primarily driven by the continued expansion of our sales channel through additional distributors. Moving on, our Extremity Fixation SBU offers implants for orthopedics that are used in fracture repair, deformity correction and complex bone reconstruction procedures. The worldwide market is estimated at $8.1 billion growing in the low single-digits. On a constant currency basis net sales grew 11.8% in comparison to the same period last year primarily due to increased collections from our cash based distributors. As a reminder approximately 1/3rd of the net sales for this SBU are recognized on a cash basis. This can cost significant revenue variability from one quarter to the next due to this accounting treatment we believe it is appropriately to review net sales performance over trailing 12 month period which grew 2.7% in constant currency. This growth is due to increased stock and distributor sales worldwide and improving sales performance in Brazil following its restructuring last year. And lastly, our spine fixation SBU specializes in the design, manufacturing, and distribution of devices for the $8.2 billion spine implant market with a growth rate in the low single digits. Second quarter net sales were $19.4 million, a decrease of 4.6% in comparison to $20.3 million in the same period last year. However, second quarter sales grew 19% sequentially over the first quarter, indicating the success of the team and strategies that were put in place late last year. Now, I'll move onto the rest of the P&L. Gross margin in the second quarter 2015 was 78.3%, up 350 basis points compared to 74.8% in the prior-year period. Second quarter gross profit was $79 million, up $3.5 million from the second quarter 2014. The increase in gross profit is due to the effects of foreign exchange rates as well as a $1.9 million shrink charge incurred in the same period last year. We expect gross margins to be 76% to 78% for the year. Sales and marketing expenses were $42.9 million, or 42.5% of net sales, in the second quarter of 2015, up $900,000 from $42 million, or 41.6% of net sales, in the second quarter of 2014. The increase was mostly driven by a planned increase in sales management and field-based education and training. Net margin, which we define as gross profit minus sales and marketing expenses, was $36.1 million, or 35.8% of net sales, in the second quarter of 2015, up $2.5 million from $33.6 million, or 32.1% of net sales, in the second quarter of 2014. This increase was driven by higher gross profit in three of the four SBUs, offset somewhat by the higher sales and marketing costs described previously. General and administrative expenses were $22.5 million, or 22.3% of net sales, in the second quarter of 2015, up $3.5 million from $18.2 million, or 18% of net sales, in the prior-year period. This increase was largely driven by a $1.3 million investment as part of Project Bluecore, our multiyear company-wide process and systems improvement initiative, and a $1.1 million legal judgment. Excluding the adjustment items, which are described fully in our earnings release, G&A expenses were $19.3 million, or 19.1% of sales, in the second quarter of 2015 compared to $17.6 million, or 17.4% of sales, in the prior-year period. This increase was due to increased share-based compensation and professional fees and personnel costs within our finance department as part of our internal control remediation efforts. Research and development expenses were $6.5 million, or 6.4% of net sales, in the second quarter, which was up 2.2% from the prior-year quarter. The increase was due to an increase in our investments in clinical trials that Brad just spoke about. Income tax expense was $1.8 million, or 30.4% of income before taxes, as compared to income tax expense of $3.3 million, or 50.3% of income before income taxes, in the same period of 2014. Although the effective tax rate improved year over year, our effective tax rate is negatively impacted by losses in entities for which we do not receive a tax benefit. We expect our full-year 2015 effective tax rate, barring any unanticipated discrete items, to be approximately 40%, but the rate may vary widely on a quarterly basis. For the second quarter 2015, we reported net income from continuing operations of $4.1 million, or $0.21 per diluted share, as compared to net income from continuing operations of $3.3 million, or $0.18 per diluted share, for the second quarter of 2014. Adjusted net income from continuing operations was $6.8 million, or $0.36 per diluted share, as compared to $4.6 million, or $0.25 per diluted share, for the second quarter 2014. Adjusted EBITDA during the second quarter was $17.2 million, or 17.1% of net sales, compared to $16.2 million, or 16.1% of net sales, in the prior year. On a constant currency basis, adjusted EBITDA grew 13.1% and represented 17.1% of net sales. Moving onto the balance sheet highlights, days sales outstanding, or DSOs, were 53 days at June 30, 2015, down from 56 days at June 30, 2014, which reflects our improved cash collections from our extremity fixation and BioStim SBUs. Our inventory turns at the end of Q2 2015 were 1.5 times compared to 1.6 times at the end of Q2 2014. The slight decrease reflects this quarter's inventory builds for certain new product launches. Cash and cash equivalents, as of June 30, 2015, was $55.9 million compared to $71.2 million, which included restricted cash as of December 31, 2014. This decrease reflects our first quarter investment of $15.3 million in connection with the option agreement entered into with eNeura. We have no debt outstanding and are in the process of renewing our credit facility, which we expect to have completed prior to its August 30th expiration. Year-to-date cash flow from operations was $9 million compared to $17.9 million for 2014. The decrease of approximately $8.9 million is primarily due to the change in working capital accounts. Year-to-date capital expenditures for 2015 were $13.6 million versus $6.3 million in the prior year, an increase of $7.3 million due primarily to our Bluecore investment. We'd previously indicated that we would incur $20 million to $25 million of capital expenditures in 2015. And because we're able to capitalize more Bluecore costs than we originally anticipated, we now expect capital expenditures to be between $24 million and $29 million for the full-year 2015. As you would expect, we will see downward pressure on our free cash flow this year due to our increased capital expenditures as well as our OpEx investment in Bluecore and our lower adjusted EBITDA. I will now turn it back to Brad.
Brad Mason: Thanks, Doug. I will now share our thoughts on the remainder of 2015. Throughout the remainder of the year, we will stay focused on our three primary objectives, optimizing our sales channel, investing in core technologies, and improving our infrastructure and control environment. In addition, our capital deployment strategy is unchanged. We will continue to invest in research and development, infrastructure improvements, tuck-in product acquisitions, and consider additional options to accelerate shareholder value, utilizing our available capital, including stock repurchases. Considering the strength of our balance sheet, it is our intention to return a portion of our available capital to our shareholders in the future. The Board of Directors and management are currently working on a plan to do so, but there is no assurance of the timing or terms of a plan. It is dependent on a number of factors, an example of which is the outcome of our current negotiations to replace our credit facility that is expiring in August. On a related subject, I think it's beneficial for our shareholders to know that, on June 30th this year, as a component of our performance-based equity compensation for our executive leadership team, we instituted a dual-vesting criteria of 50% based on adjusted EBITDA achievement of a $78.5 million target if achieved by calendar year 2018, and 50% based on achieving a return on invested capital target of 12.2% within that same timeframe. This ROIC achievement level is significantly above the majority of our peer group and we believe better aligned with our shareholders' priorities. For more details, please refer to the Orthofix Form 4s filed on July 1st of this year. Regarding guidance, as I mentioned a few minutes ago, I am pleased with our Q2 performance and trends. However, just as we didn't get overly concerned about Q1 numbers we reported, we aren't getting overly excited about Q2. We still have a lot of heavy lifting ahead of us. But, there is clear evidence that we are making good progress in executing against our plan. Based on the Company's Q2 results, we are raising our guidance for the year. We now expect to report net sales in the range of $390 million to $395 million based on current exchange rates, up from prior guidance of $385 million to $390 million. This new guidance range represents 1.2% year-over-year growth at the midpoint of our range in constant currency. We expect to have year-over-year growth in our BioStim and biologics business units. As noted, we expect volatility in our extremity fixation SBU results due to cash accounting. And as indicated on our last call, we also still expect net sales in the spine fixation business unit to return to year-over-year growth by the fourth quarter this year. Additionally, the Company is raising its guidance for adjusted EBITDA to be in the range of $57 million to $60 million for the year, up from $55 million to $58 million previously. Longer term, we continue to expect that, once we accomplish our key objectives, we can consistently grow at or above market growth rates in each of our businesses and expect to consistently achieve adjusted EBITDA margins greater than 20%. With that, operator, we are ready to take questions.
Operator: [Operator Instructions]. We will take a question from David Turkaly from JMP Securities.
Unidentified Analyst: This is John on for Dave. So, first, I just wanted to hit a little bit on spine. That was some pretty significant sequential growth. And I was just wondering. Was there anything one time in the quarter, or is it more related to the new reps that you guys have had there, some of the new products? If you could just give us a little bit more color there, that would be great.
Brad Mason: So, I think it's a combination of a few things. I think the first quarter was a little lower than would otherwise be expected because of cash collections from some of our cash-based distributors. And I think, second quarter, we recovered in the cash collections to a degree. But, also, probably the bigger factor is that we are gaining traction with the new sales force, new sales management, and the field-based training people. So, we were very happy with the performance in Q2 for our spine business.
Unidentified Analyst: Okay. And then just a follow up on spine, and then I've got one on extremities. So, as I look out forward in the spine business, you guys have a number of new products coming online that could start contributing over sort of the near to medium term. I think you've got Samba, Centurion, LoneStar, SkyHawk. If you could just comment a little bit on some of those products kind of how you're expecting them to rollout timing wise, what kind of contributions you think we could start seeing from them, I know you're not going to give specific guidance on them, but just some high-level color there would be useful.
Brad Mason: Sure, John. No problem. So, part of what we saw in Q2 is an uptick from Centurion and a little bit from SkyHawk. So, those two are kicking in - excuse me, not SkyHawk, from LoneStar. So, I think you're going to see an improvement in Centurion as it moves forward now. Now, we're in full market release. We're adding sets so that we can get to more cases out there. I think, as we get into the - toward the back half of this year, you'll still see a little bit more acceleration. But, in 2016, you'll see it'll improve. We have - in addition to products you mentioned, we have a number of other products that'll be coming out as well. So, we're really excited about the next 18 to 24 months and to see what these products will bring to us. But, they tend to roll our rather slowly. We do a limited market release. Then we build up sets. Then we get them out, and we do our training. We can launch them more effectively now that we have our regional education specialists out in the field. That was one of the reasons we put them out there, so that we could get our products launched a little bit quicker, get a return a little bit quicker. So, yes, we're very excited about the product portfolio that we have for spine fixation.
Unidentified Analyst: And then just quickly on extremities, there are a number of moving parts there as we kind of look at the second half of the year in trying to think about our models. You've got the cash collections that obviously came in big this quarter. We're kind of hit last quarter. Those are going to be trending towards normalization over time but have obviously still been kind of lumpy. You've got improvements in Brazil. We've got the impact from TrueLok Hex, which you sound pretty positive about. If you could just, at a high level, kind of help us think about those moving parts and how those might play out over the back half of the year so we can get a sense of where things might go, that would be helpful to us.
Brad Mason: Sure. Unfortunately, I don't have a crystal ball on some of the cash collections. So, those'll be what's a little bit choppy. But, you also mentioned, John, TrueLok Hex. And we introduced TrueLok Hex in March of this year. And with just a limited number of instruments sets out there, I think a half a dozen instrument sets, I think we did 110 cases and with great success. So, we're just putting out more sets right now so we can increase our - the cases that we're doing. That's a big driver. That'll be a big driver for us in the U.S.. Outside the U.S., I will say that we've had some headwinds in Italy and the UK related to some governmental sorts of things that I think will sort themselves out, the timing of that I'm not sure. But, our sales to our stocking distributors worldwide has done very well. We're very pleased with the shipments that we've made there. And I'm also very happy about what's happening in Brazil. We have been - Brazil's been an issue for a while. The changes we made in the last year are starting to kick in now, just like we're seeing in spine fixation. And it's improving and will continue to improve from here. So, it's a combination of those things, just kind of backing up, TrueLok Hex, Brazil, and I think we're going to sort some things out in Italy where they went to an automated - to an electronic order system country wide that delayed a lot of orders and things and some things in the UK, but a lot of opportunity there everywhere we look. And I don't see huge headwinds, other than the timing of cash collections.
Doug Rice: With regards to that, John, this is Doug. I just want to point out one thing and emphasize one thing that I pointed out in my script with regards to the choppiness with the cash-based revenue accounting that we're faced with. We certainly knew Q1 was low. And so, what we'd like to disclose to everybody going forward is, looking at our revenue on a trailing 12 basis, which was 2.7% as of the end of June, we feel like that's a better indicator kind of on a long term basis.
Operator: We will take our next question from Imran Safar with Jefferies.
Imran Safar: I wanted to first ask about the gross margin. Obviously, another strong performance there in the quarter, and I look at the full-year gross margin guidance in that context. I think you said 76% to 78%. The [indiscernible] suggests that the low end would require a huge step down in the back half. What would precipitate that? Is it currency? Is it just mix? Any commentary on that would be helpful.
Doug Rice: So, as Brad indicated in his script and me to a lesser extent, the spread this quarter was certainly impacted by FX. It was also a favorable mix, as we had a heavier mix towards our regenerative higher-margin businesses, and then - but we would expect that cost of goods to tick down - I'm sorry, the margin to tick down slightly over the course of the second half of the year as the investment in our metals businesses, spine fix and ex fix, both pick up. And I think that is the main driver in the change in margins for the back half of the year.
Imran Safar: Okay. And then just kind of revisiting your 20% EBITDA margin target, and I think you've been pretty nebulous in the past on the timelines there. Is there any reason to think that you can't get to that level sort of mid or in the back half of next year just based on where the recent trends have gone for you guys?
Brad Mason: Yes, Imran, I'm still going to be nebulous about the timing. Sorry about that. We've had what I consider a good quarter. We need - I'd like to see a few more of those before we commit to any sort of timing on that, to tell you the truth.
Imran Safar: Understood. And then lastly, I wanted to just get some clarification on your comment about the Board discussions on returning cash to shareholders, which I assume means buyback or dividend. Is implicit in that that you're maybe thinking less about meaningful M&A activity, that you're more comfortable with the base business, or was that a mutually exclusive comment relative to the M&A strategy?
Brad Mason: It's a little bit of a combination. So, we are still interested in M&A, but we're not going to do something that highly levers this company. We're not looking for large acquisitions at this time. We're looking for tuck-ins that augment what we have and where we have holes in our product line or we have opportunities to fill our pipeline with new products that are related to what we have that would fit our distribution. So, we're not going to be looking at acquisitions that are large enough that would prevent us from doing some sort of a program to get some - get a return back to our shareholders.
Imran Safar: Okay. I'm sorry. I have one last question just about Brazil, just considering the impact that's had on the business of late. How much of the performance in the quarter was stocking versus true underlying demand in that geography? If you could just flesh that out, that'd be helpful. Thanks a lot.
Brad Mason: Yes, so, one of the biggest changes that we made down there is in our direct sales. So, we still have a number of the distributors, the stocking distributors. So, let me back up. That business, and I think you know this, Imran, that business is a combination of stocking distributors and direct sales. Where we lost a lot of sales were two places. We had to terminate some distributors for reasons that we didn't prefer the way they were doing business we'll just say. So, we lost some business in that arena. And we also had to replace our internal sales force. And that's where we lost the most business. That's been done. And that's where we're gaining the most traction is with our in-house people. And that's what's driving the business today is our direct sales force more than our stocking distributors.
Operator: We will take our next question from Jim Sidoti with Sidoti & Co.
Jim Sidoti: Just going back over the quarter, it sounds like the only one-times that were really material were the increase in cash collections on the spinal fixation and extremity fixation. Is that accurate?
Doug Rice: I don't know whether I'd characterize that as one time. And again, we're trying to point everybody from an extremity fixation perspective back to a trailing 12, kind of rolling 12-month look at the way our revenue works for ex fix. Yes, but, other than that, I think we're just starting to see the investments in our sales channel and all of our corporate goals start to pay off for us as we saw good results this quarter.
Jim Sidoti: Okay. Well, let's call them anomalies instead of one-time, but the only things that were unusually strong are - that we should anticipate repeating were those - were the collections. Is that right?
Brad Mason: I think our R&D spending is a little below what we expected as an example. Our collections were - it looks a little bit odd because our collections in Q1 were down. Q4 and Q1 were down a little bit in our extremity fixation business. So, that's come back. But, it's not a significant anomaly that we view as a one-time benefit to the quarter.
Jim Sidoti: And then just on an absolute level, SG&A spending was down $1 million from the last quarter. What drove that?
Doug Rice: So, we've made significant investments in our infrastructure. And a lot of those were upfront in 2015, so sort of two types of cost in G&A, one-time in nature and what I'd call sort of investment costs. And we certainly invested wisely in our finance infrastructure with people and systems and some with consultants in order to improve our control environment. So, we're not going to stop until all of our control issues are remediated, which we feel good - like we've made good progress on. And we're done with these one-time type costs. And so, what I think you are seeing in our G&A for the second quarter is a reflection of that first quarter kind of one-time type cost investment. So, we expect that to tick down some as we replace consultants and some of the contractors with permanent people and solutions.
Jim Sidoti: I was referring more to the sales and marketing side. You spent about $44 million in sales and marketing in the first quarter. And you were down $43 million in this quarter despite having higher sales.
Brad Mason: Yes, Jim, we talked [indiscernible] being a little bit abnormally high. So, there's a couple things that drove it high in Q1. I think the more important takeaway here is that Q2 is more normalized. It's still - we're still higher than we were last year. And the reason for that is, as we brought on these distributors, the - typically, the way a contract is negotiated is they'll get a commission on their base business and then a higher commission, a premium, on the growth in their business. As they [indiscernible] growth category because they don't have a base to work from. And that gives them more incentive to work hard in the first year. So, our commissions are going to be higher on our new distributors as they come online. So, you're going to see that in our biologics business. You're going to see that in spine fixation and in BioStim as well as in the BioStim business. That's where the anomaly was in Q1 that's worked its way through now, as I said it would at the end of that call.
Jim Sidoti: Okay. So, you think, for modeling purposes, somewhere 42% to 44% is about the right level for the rest of the year?
Brad Mason: Yes, I think in the low 40s.
Jim Sidoti: Okay. All right. And then the last question, you did have a charge for restatement costs in the quarter, about $2 million there. Should we assume that's the last of that?
Doug Rice: No, what we're seeing, so the true accounting restatement was done in the first quarter as we got timely with all of our historical restated financial statements. And what we're seeing is related costs to that, whether they're investigatory or compliance related or the SEC action or the shareholder suit that was related to the first restatement. And so, those costs will continue to linger. We can't predict what they are. We'll continue to adjust for them. And that's what you're seeing there in Q2.
Jim Sidoti: Okay. But, if we look out four or five quarters, you think that those should no longer be material. Is that correct?
Brad Mason: Sure hope not.
Operator: Thank you. That concludes today's question and answer session. Mr. Mason, at this time, I'll turn the conference back to you for any additional or closing remarks.
Brad Mason: Thank you, Melissa. I appreciate the help today. And thanks for those listeners joining us on the call. And I look forward to seeing many of you in the next few weeks. Take care and have a good rest of the day.